Eduardo San Miguel Gonzalez De Heredia: Hello. Good afternoon. This is Eduardo San Miguel. Welcome to the 2020 results presentation that will be conducted as always by our Chairman, Juan Arburua will take something like 20 minutes, and you can post questions after the speech. And now I give the floor to Mr. Arburua.
Juan Arburua: Hi. Hello, everyone. So let me try to go through the presentation as fast as I can. So there is time for -- enough time for Q&A. In this presentation, everybody had the numbers of TR. Some of you already made comments. He's going to focus on the financial highlights and the analysis of the adjustments because whenever you give adjustment figures, it deserves a good explanation and justification. And then let's talk about the future, and the future is why do I believe '21, which is definitely, we're already in 2021 in a transition year, but it's a promising year this year just going forward with a quick outlook. If we go through the 3 big good numbers of our presentation, we have sales figures of €3.5 billion. Obviously, it's not the sales figures that we would have expected, exactly 12 months ago. 12 months ago, our sales figures, we would have expected the figures closer to €5.2 billion than €3.5 billion. So you were very much flip in the numbers. With those numbers flipped for those self flip, we have an adjusted EBIT margin and EBIT margin that would analyze from my next slide to slide, but we have been able to manage the year managed the execution of our jobs with the net cash decision of a very close to $200 million. As well, we have a year-to-date backlog of close to €9 billion.  Here, I'd say it's fair to say year-to-date because I think it gives a better represent the health of the business have been awarded by the end of the year, a PTA plant for the Group in Turkey that I was signed. In this case, I was there myself in Turkey, and I was staying there 2 or 3 weeks ago. And I think it's important that we can -- and it's important to underline that, we can start talking about pipeline. And that probably 6 months ago, we were not ready to talk about pipeline. And now we're talking about pipeline, but a very active pipeline that we can value at 45 billion dollars or euros. So when we talk -- when we have to analyze and we analyze our results, this do an analysis and how the profit has been impacted.  Obviously, we started -- we, last year, we had -- our sales has been reduced by 20 -- 17% over last year. And our effected sales, which was only accruing the existing backlog about a year ago, yes, just accruing the existing backlog a year ago, it was in the neighborhood, as I said before, 5.2. So we're reducing our sales by 35%, and we have to survive doing that. At the same time, we have been very much impacted by COVID, and we can separate COVID with trials much to be very transparent, separating the COVID impact. We have the impact of the really direct costs of COVID having to do with health protection, low productivity, confinement, quarantines, temporary idleness in our business. And then obviously, had the COVID not been here, the work would have been different and very much some of our projects would have behaved and customers are very different. And that's the other impact that we have had in the business and very much showing the power division.  Obviously, two big impacts that we had in the power division. Some of this we've been talking through the whole -- and both of them through the whole year, having to do with Finland and the U.K. It would have been very different under a normal involvement. It's very unlikely that you work in, in Finland, and we're working with three reputable and very good customers, and the plant is terminated and are continues by themselves on a commission stage. It has happened. I mean everybody behaves differently, even ourselves, we behave differently under stress and the COVID situation, difficult to negotiate, difficult to travel, difficult to commission and difficult -- very difficult to render services. And very much so different story but in the U.K.  In the U.K., it was a good job. We have to manage the Brexit inefficiencies, uncertainties, we. Get paid to manage uncertainties. And we were in good pace, very good pace by this time, this year with our subcontractors, and then we have been faced not with one, like everyone with one, second and now third waves of COVID. Being the last one, probably the one that is hitting us more. I'm not going to say economically, no, but more in our hearts and their personal hearts because we were very much ready to first fire, and we are ready and working hard to first fire. But the third wave has very much made the continuation of the plan or the investment of the plant in this few weeks, very difficult specialists in with our support team. But I'm very much convinced that in a veneral will be back in productive pace to first fired and then translate these plants into a profitable plant for us. So having done this brief analysis, now let's work through the numbers. Let's work why I do say we have 3%, say 1.5 EUR, 1.5 million of adjusted EBIT. We have an accounting EBIT, which is the one that you've seen in our accounts of €41 million, which is 1.2%. And then we have what we call the direct COVID impact. We've gone in big detail. We don't want to overstate that figure of €58 million. And then we have to add up restructuring costs. Everybody, we have to react to COVID, and we've done a very aggressive and very, let's call efficient reduction of our employees of our cost business, which has translated obviously afterwards, a very important efficiency and cost savings. That has -- you have to bear some cost on that.  They would have not taken this -- we have not done that. And it's a place of consultants and compensation, obviously, to the they have to the TR. And then to that, I mean, if I want to compare cares with pears, we have to deduct $10 million -- €10 million, sorry, of the profit from the sales of your control with run by TR, with 80% of the company was TR and has been sold this year and that profit, the $2 million is part of our EBIT. But has been extraordinary, I think it's first to take away so we can compare 1 year from the other. That comes to an adjusted EBIT of €105 million, which I think it shows the -- we have in the oil and gas business. We have a solid margin and despite underperformance of the power division that I've talked before. Let's move forward. I mean, we have a good backlog. We had a good backlog. We maintained that backlog, which is a good and healthy backlog that has been rescheduled. And the main -- I mean the larger jobs of the back -- of those backlog [indiscernible] schedule in good agreement with those customers. And we have explained in previous presentations, obviously, has forces true-up restructured TR, but it has created the opportunity to make money in the future into '22 and forward. But has that not been restated had that difference in sales have been executed normally with the normal and even lower prudent margin of 7%, we would have had a margin of $118 million, $118 million that are there, it's part of the backlog. It has been moved forward. And we do believe that's a conservative 7%. But if you take that into account, if we want to analyze the health of the business, the health of the backlog and the health of our customers, we have to include into 220 analysis throw in and embedded it 2023, which comes to a margin, which is the expected margin, what we wanted to have, what we were aiming for of 4.3 our sales, EBIT or sales. And this year, obviously, many and many presentations were asking me whether our net cash figure was going to improve or not. It's been difficult and it's under uncertainties, restructuring, less sales, no payments, no new jobs. It is not easy within that involvement, we've been able to maintain a positive net cash and close the year with a net cash position of very much close to $200 million. And now let's move into the next phase of the presentation.First of all, the numbers, sales, lower sales margins that needed to be adjusted, probably the impact. But now let's talk about '21 in what I call a promising future. And why a promising future. And let's go and then let's -- I'll do an analysis of those 4 points. Promising future because we are securing margins in our current backlog. We have not backlog. I mean we have a strong backlog that are eventually and sooner than later would be even replaced with healthy margins.  A promising feature because we have been working very hard starting in the good year in the second half of 2019, and we captured efficiencies. And today, we have a much leaner and efficient operation. A promising feature because the market is back as probably the most important thing as a business, the market is back and now and we did it. And we've got through that later on. And a promising feature because this whole issue that everybody talks about an energy transition, I explained on that TR is very well positioned. We have the know-how and we have the technology, and we are already seeing some successes in this whole venture. If we want to analyze why I'm saying that we are securing margins, I think the best way to analyze the backlog instead of going through price and colors is going through customers and projects. And we got through the main contributors to this '21, and it's good to have those customers or Petroperu with whom we're doing a fantastic job with them, is probably the most -- it's going to be probably the most efficient refinery in the whole Latin America. We're working very well in Colombia with TermoCandelaria. We have been awarded this year, which is in light of a good success, a job for an app, which is an all-time customer in Chile.  Obviously, we continue working, and we have to deliver jobs this year for Aramco. We are delivering and executing successfully with a great level of understanding with ADNOC in Abu Dhabi. We are delivering and executing with a very good level of success and understanding in Barain with Bapco. One of our best customers, we have two big jobs, the bigger refinery has ever been built. I do want if those process units has been done by us very much successfully and this 2021 is the year of commissioning. Now we're preserving together to the customer waiting for the services, for the upside, for the power and hydrogen to start up, but we're ready.  It's a successful job. Very important and very successful the way we're managing, together with our customers, managing the good customer, good country, good project. [indiscernible] is the new job, is the job of a PTA. IF PTA is pit stock for our polyesters, different variations, is strengthened our position in the PTA, polyester and all different technologies we made to petrochemicals, very important for us, a very good customer. The job has already been launched. So it will have already some positive impact in 2021 accounts.  So far, good customer, and you see good customers when you have to manage under difficult situations. You have to realize that we go along with them. We like to work with them, and we have to survive not only COVID but a war. We've gone through a war for 2, 3 months over this year. And it was not pleasing to be there, but that's when you -- when a good customer shows demonstrates the secret customer, and we try our best to show and demonstrate that we have the best service companies that they may have. And the last one here, I want to spend also some time is Indonesia. We're working for Pertamina and Rosneft, 2 very important customers. That we're developing with them, we're developing with them the basic designs the profits moving into over the big investment that will take place with them in Tuban, Indonesia. So this is main contributors to 2021.  And let's move forward to, again, the very important customers, all the big reprogram jobs. If we were to add up the size of those jobs, we will go to more than €7 billion, the size of the jobs. But the important thing is that we have reprogrammed 2 big jobs for Aramco. So we'll have -- which will start to contribute to margins in 2022. We have reprogrammed the big job that we have in Singapore with Exxon, and we're working together to see whether we're able to deliver here, probably the best job ever. It is going to be the first time working for Exxon with a very good quality of engineer finished with most of the equipment bought together with Exxon in the site and being preserved, with enough time to do a very good modulization construction.  So it's good news. I mean it's difficult that we had to restructure our sales. We have to -- many of our professional have to leave TR this year, but we have a good project and a good customer. And obviously, Canada This is the second time we were for Suncor successfully, it will reprogram 2 years and now has been pulled back to only 12 months. And I continue to be positive and throwing the message that we have a promising feature. And we have a process which is a very promising future because we have been able already, and we continue doing to capture efficiencies and be a much better operation than we were 2 years ago.  If we go to those numbers, it has not been easy, but through this year, we have reduced our workforce by 26%. And that has already been implemented. For a businessman, this is not good news. It's necessary, but it's not good news. The businessmen wants to hire, not layoff, obvious. That translates into $70 million this year and has an annualized effect of close to €200 million. Obviously, we have to reduce our space and we have to reduce our space by more than 15,000 square meters. Very little impact this year as obvious, but a very important of €9 million next year. And our operations that a number of engineering, procurement and construction, and that's very much linked to the transform -- very much linked to the transform exercise we have been doing over the last -- starting in 2019. We are reducing our structure and improving our engineering, procurement and construction by $50 million.  We've worked hard, incurred cost reduction structure. We've worked hard into having a far more efficient engineering and construction supervision and centralized procurement, far more efficient. We have worked very much to standardize our process, and we have very much together with our consultants, our team to move -- to take a step forward towards digitalization. And we already can tell you, we've been very successful. And let me tell you -- why do I believe that we have a promising feature, and this is important, as I said before, because we've been a next wave of investments, marketing back.  Now, I can say that we have a pipeline of $45 billion. But most important, those $4 million or $5 million that can come and go is that out of those $22 billion already been tendered or they're going to be tender in the first half of the year. So we would pose that the market is ready to invest. And some awards have already taken place. A good example for us is 30. So it's good news. That's probably the most important good news that which would have been very much very impossible to talk about 6 months ago. And finally, I'm optimistic, and I do believe I have a promising feature because we're positioning TR quite well and quite successfully into what is called energy transmission. And let's move into details. Those are details. And this is just the beginning. There are 41 projects in the pipeline that we're bidding. And we're working with customers and with partners, having to do with carbon capture two, which is trendy and that's our know-how, very, very close to know-how, hydrogen and green hydrogen, electrolyzers and developed in technologies is very important. 11 having to do with bio of the biomass as a gain, that's a know how. We've done it before and now we drill for our customers again, and six related to circular economy.  Obviously, we're very much focused, the hard team of TR very much focused, trying to focus on the new generation of the European front. And we're going to capture them. I mean, I can assure you that here from Spain, we're going to be successful. At the same time, we are focusing on additional opportunities with customers and partners related to carbon capture digitalization waste to chemicals as part of our business as well, hydrogen, value chain and methane. And all of that is probably the message here.  We're moving -- we're sitting with customers, we're sitting with partners and why? Because I do believe that TR has the technology has the capacity to develop those technologies, have the capacity to escalate those technologies because very often those technology already they have to be escalated and you need TRs or companies like TR to do so. So we have the know-how. And we have that because we have the quality of engineers that have done that similar tasks before. So it's good news. It was a lot of noise a year ago, and today is a big reality. And here, I'm going to go through this one. Here he is for you to read. I'm not going to go line by line. So there are some small jobs that we have already executed. There's some jobs that we are already working and they are under execution. And it's a huge pipeline that we are following. So I'm optimistic, and I do believe we have a promising feature because sooner than later, part of our sales and part of our profit will be very much related to our energy transition.  And finally, at the end of the day, the outlook is more of the same. Securing margins, good news. Capturing and captured, I mean, this usually works correctly, efficiencies. Bidding, and we have already presented office, many of them have already been presented in a new and a strong pipeline. That's extremely good news. And we're well positioned for energy of [indiscernible]. Difficult to make guidance on a year of transition, very difficult to make guidance. Because obviously, we can get awards, but will -- both of which will have a very little impact on sales. So it's very difficult to make ourselves figures growing this year.  We'll see a growth of our sales into '22 as the new -- as the reprogram jobs will restart and new awards will come into force. And therefore, we can forecast an EBIT, full of uncertainties. I mean, everything this COVID, it's an uncertainty, full of uncertainties, that we can forecast to an adjusted EBIT in the neighborhood, and probably good news because the market 6 months ago was that, the goodness is that we feel very comfortable that the level of sales can be replaced with [indiscernible] service the market moving, and we are very well positioned in that market. And that's it. I think I'm done with my presentation, and I'm more than happy to answer any questions you may want to pose.
Operator: [Operator Instructions] We have a first question from Mick Pickup from Barclays.
Mick Pickup: A couple, if I may. Obviously, projects been delayed and the some notable ones in the Middle East that have been basically put on pause. What certainty do you have that they are going to restart? And tied in with that, obviously, these projects were bid a long time ago, steel prices have effectively doubled in the last 3 months. What protection do you have on the pause of those contracts from changes in commodity prices?
Juan Arburua: Okay. The first question you talked about projects that have been delayed. I mean, investments have been delayed. I mean, what we have -- obviously, some of them have continued to be delayed in Saudi Arabia. So Kuwait have announced new wave of investments, but not important ones. And Oman has not announced the new wave for petrochemical investments. They are delayed, but you see that Qatar is moving, and Qatar is already awarding and we're there. You see that Emirates were delaying. We were bidding in 2020, and I we'll bid in again and they're not delaying themselves.  I mean, we're -- and I do believe they're ready to award because when you are bidding and people ask for extensions, they give you extensions of 1 week or 2, no more. So they want the numbers, and they want to go through all the -- already going through tabulations of economic offers. So well, I mean, having got certainty, but that level of pressure of percent offers I give you 1 week extension. I'm going to open the -- offers will be open in weeks. When you're talking some of the customers that we have, and I said, okay, they give you certain days, certain days of opening our award. You would see that in 2020.  In 2020, I mean, the answer was, I don't know. I mean, let's wait and see. And now that wait and see in some of those customers is not the case. It's not the case with our customers in Turkey, is not the case with our customers in Azerbaijan, is not the case in Qatar, is not the case in Emirates, is not the case in -- is not the case in Chile. We have an award and we're seeking other jobs. It's not the case in the forest. And it's not a case in most of the jobs related to gas to be -- if I want to focus on a project. And on the reprogramming, you were saying we have any capacity?
Mick Pickup: I mean, no. I was -- sorry, what I was asking was, obviously, you have, say, paused progress on major projects in a period when steel prices have doubled. Do you have protection on your procurement for a steel price that you double what it was when you were bidding 1.5 years ago?
Juan Arburua: No the thing we have -- what we have been doing as the projects are awarded and/or life, we have with many, and we've been done part of our agreements in many of our -- with many of our suppliers and not customers, equipment manufacturers, suppliers, still what we have is three agreements, not contractual protection with our customers. But yes, three agreements. And even with contractors saying that if you hold that price, you will be the one working in this job. And so we have three agreements. And some of them, we had already awarded part of it, and we have already contracts in place that has been somehow rescheduled.
Mick Pickup: And the second question, if I may. Obviously, you're very happy that the underlying performance this year is in the region where you want it to be, but the power section looks like it's still losing money quite sharply in the second half of 2020. So how does that power operating profit progress into '21?
Juan Arburua: I mean we've -- accounting-wise, that's how we run projects. I mean, we are already running all the costs, and we've already incurred or account for all the costs that we have if there is no greater uncertainties to finish those jobs, I mean, to finish the side jobs, this is the only one we have to finish all the other costs of Finland has already been -- we've already provisioned or accounted for. So if -- so on the U.K. side, we've already -- we've taken the loss and we've taken the cost and shooting, first firing, and we're working very hard for our first firing, extremely hard for a first filing, which is going to be within the next week. First firing is key. We wanted to have at the beginning of the year.  And then we get the second wave. We wanted to have at the very beginning of this year, and then we got the third wave. And now we are -- we have -- we're looking for a window, a good window to come back and work hard to first fire that plant. Now it's difficult. I mean, let me tell you, the last 3 or 4 weeks has been extremely difficult because that is always in line between our eagerness to finish and first fire work together with the customer and the health and safety of the plant. Some labor plants have closed. We have not closed.  We have to reduce part of our activities because the level of cases in our plant has -- in some cases, in our team has multiplied by three, difficult to get specialists in site and travel into the U.K. and put together a team to commission 1 of the units. It's been difficult. But we do believe that an initial week or days, we'll see light and focus on the first firing, which is important because starting that day in a few weeks, our customer will start make money.
Mick Pickup: [indiscernible] was a low back I go and help out myself.
Juan Arburua: Can you say that slowly because I'm sure it was a good -- I don't get it?
Mick Pickup: If I was allowed to go back I'd go and help out myself, it's just down the road.
Juan Arburua: I might call you. I may call you. Maybe we go together.
Operator: Next question from Kevin Roger from Kepler Cheuvreux.
Kevin Roger: Yes. Actually, it's a kind of follow-up on the one from Mick. Looking at the EBIT margin for 2021 in terms of adjusted numbers. I was wondering if you look at basically the guidance, you seem to expect a quite stable adjusted EBITDA margin -- EBIT margin close to 3%. But this year, we have faced basically a very, very challenging power environment with a very poor performance. So I was wondering if you can give us a bit of granularity on how you built the 3% EBIT margin forecast for 2021 because if we have the kind of improvement in the it should maybe at least offset any weakness in the oil and gas compared to what you had in terms of exceptional this year? And as the kind of follow-up, I was wondering if you can give us some tools on how much do you expect for 2021 in terms of COVID cost, if you can? And also, if we should expect any additional restructuring costs for 2021, please?
Juan Arburua: Let me start by the end. Because I think if I answer the last question first is somehow clarify the first -- your first question. Obvious needed is that is I cannot forecast COVID costs for 2021. I don't think none of our government has been able to forecast COVID costs for 2021 or 2020. So I don't want the one to make forecast here. To be honest, I was thinking that as this fourth quarter of the year would have been a good year in terms of COVID cost and has been awful. So well, that's the conversation that I was having.  The good thing about the fourth quarter is that our customers were back. But the level of confinement and efficiencies, travel restrictions, has been crazy, very difficult to have, very difficult to anticipate, impossible to anticipate. So I'm not going to anticipate anything. So that forces me. If I cannot anticipate that, I cannot anticipate further restructuring costs. I mean restructuring cost is very much related to the need, whether the market picks up, whether do I have further impact in COVID and and it's very difficult. But if there are any costs, they're not going to be very important. I mean, they're not going to be great cost.  I mean, it's not something that takes the in sleep away. The restructuring costs would be something for margin. If they're needed, if we see that investing and I underline word investing in restructuring costs, would be good for TR because it will be more efficient and is needed. We'll do it. I mean there's -- we're definitely focused in doing it. But I think we've done quite well over the last 12 months. We're not going to be needing far more restructuring. And three, the 3% that I gave of adjusted margin. It's not a guidance, it's the forecast. I mean, let me underline that it's a difference. Because I cannot give you a guidance or commit myself to a full guidance because the level of uncertainties, that's why I wanted to start by the end and not by the very beginning great.  I don't know whether we're going to have a fourth wave, and if we do have a fourth wave, the awards get delayed. And the -- and some of the jobs that are being reprogrammed get reprogrammed 3, 4, 5, 6 months further. It is very difficult. It is also a year that we are good jobs, let me underline that very good jobs have to be commissioned. We have to commission this year together with the customer, provided that we have the upsides, the big refinery of Kuwait. We like to commission. We commissioned a very big refining unit in Ras Tanura for a customer, Aramco.  We're working very hard to commission some of the units, the units of Duqm with our customers. And let me tell you those good jobs that we're doing very well, extremely well in full coordination with other contractors and the customer. So what -- we have contingencies for that. Commission is always difficult. Uncertainties may come.  So it's difficult to anticipate how are we're going to be using those contingencies when you're commissioning plants. But the good jobs. We're also commissioning this year, provided we have all the upsides in the hydrogen. Now we're preserving and maintaining the big refinery of Talara. So units are good. The unit has been preserved for months. It has been improved. We don't foresee any problem on the pre commission and commissioning stage, but there is always uncertainties. They are good jobs, and they're profitable jobs and they're strong customers and they're very strong units. I mean, we don't foresee any problem, but we have to be prudent.
Operator: [Operator Instructions] Next question from Nikhil Gupta from Citigroup.
Unknown Analyst: [Technical Difficulty]
Operator: [Operator Instructions] We have a new question from Robert Jackson from Banco Santander.
Robert Jackson: My question related to the agreement -- the secure agreement -- long-term agreement you signed with Saudi Aramco. You've -- since you're listing -- your stock price listing, you've had more or less a project from Saudi Aramco every year. Can you give us any visibility in terms of potential size of this long term agreement? And bear in mind that they are offering you long-term visibility. Could that affect the conditions as well. They're obviously very demanding in terms of payments. Can you just basically give us more information on this agreement?
Juan Arburua: Okay. I mean, this agreement is not only with us, it's us and other 8 companies. Probably the preferred companies that Aramco have selected to work with them as he has explained Aramco because to work for them in all sort of projects having to do with infrastructure, or the gas, new projects having to do with green transition, energy with one focus is has to be companies that have better capacity to work in Kingdom. I mean they have a company that have worked with them before. They have the capacity to do local engineering. They have the capacity to do local hiring, and they have the capacity to work have to hand very close to Aramco and with the local market. And we're one of those.  I mean -- and then once -- and that probably would not be billions of dollars of jobs. I think there will be jobs that we'll have to manage -- negotiate with Aramco, compete, negotiate, not very big, could be big, could be big. So here, the message is not a message of volume. It's a message of quality of contractor. I mean, we are one of the quality contractor for Aramco. So we have been selected for this, what we call in-Kingdom jobs, which is very important. We have a good capacity to work there. We have been successful with them. And then that also will position us well once Aramco goes back by himself and with partners as he has done before, to his new investment wave. Now it's quiet. It will come back. He needs to invest and he will invest. And that's how the selected companies, ourselves and others, they're going to be working, and they're already in the market. We're already bidding. I mean a week after we were selected, we're preparing bids for them. They're not huge on the hand But they're very important.  Nowadays, it's very important to be working for them in Saudi Arabia. And probably Aramco in those terms and in this market, we'll take very much care. We have the contract yet. So we have acceptable payment terms because we have to pay well the local contractors, which is about their own economy. So this pay in terms have to be agreed. But I would have to recognize that Aramco is -- will pay well. The payment terms would be fair and do it well because with those terms, we have to pay all the local contractors. So -- go ahead, yes.
Robert Jackson: So yes. The second question I was going to ask was, today, do you see more upside risk in the potential of bringing forward some of your reprogramming that you negotiated with clients last year? Something you mentioned in previous occasions that there could be a risk of some clients that were possibly asking you to be being more prepared, better prepared to just in case you needed to accelerate potentially a number of projects. Is that -- do you still see that risk today? Or because of the -- you mentioned the uncertainties that you're seeing, it isn't really feasible.
Juan Arburua: It could very well happen. I mean, it could very well happen that some of our customers say, okay, instead of having a rescheduled this job 20 months in 3, 4, 5, 6 months, even one says, okay, I think it will make sense. Let's start it together because rescheduling is not -- has never been important to us. And we sat down with them and see how we can reschedule. As instead of 22, let's make it 6 because now it's in a hurry. And it's not a risk. I mean, I'll see there's an opportunity to sit down with the customers and see how we get a job where engineering is practically finished when -- when some of the equipment is bought, can be moved forward. It's -- I see it as a possibility, but not as a risk. I see more as an opportunity. And it's an opportunity because it also would allow -- it would improve the way we manage our working capital and our cash flow.
Robert Jackson: Okay. And the final question, the net cash position close to €200 million. Why -- is there any reason why it's much better than what we were expecting or closer to the €100 million and much better than the third quarter figure? Is there anything special behind that?
Juan Arburua: Yes. I mean if you have seen, you've been following us 3 years and the cash goes up and down. We have worked very hard. We have worked extremely hard with our customers over the last quarter. Once they were ready to talk because I think everyone was teleworking. But the ones with the that side of work [indiscernible] us, we even visited them and sat with them. And we have been successful with them, and we have -- they have improved in some of the contracts they pay in terms, which means accelerating a little bit so we could pay some of our contractors. And the result is good end of the year.  But it is more the reflection of that we have good customers that we have and a good team that has sat down sensitively with one by one all of customers and our project managers with the [indiscernible] in the project, we have been able to secure payments. So I think it's the result. Our cash goes up and down, but it's a result of a good managing the business correctly and successfully as towards the very end of the year with good customers.
Robert Jackson: So in terms of -- for this year, we could be probably looking at net cash positions averaging closer to 200 rather than 100. Would that be fair? I know it's very volatile. We see a lot of volatility. We have seen a lot of volatility in our net cash position over the last 2 years. But you mentioned you have good clients. So I mean, would that be a fair comment?
Juan Arburua: We have good clients, but we do expect this year unless awards comes very fast and let's not be that optimistic. It's going to be -- '21 is going to be -- 2022 no because all the jobs restart again, but with the reprogramming of the jobs and the all jobs coming into construction phase is going to be a year of difficult and difficult working capital position. It's not going to be a good year. Well, if we happen to be very successful in the first 6 months of the year with awards and the jobs comes into force earlier than later, then we'll be in the 100s, 200s But if not, it's not going to be the first next 9 months of the year, is not going to be comfortable in terms of cash. It's going to be manageable, but not comfortable because we're moving into construction phase, and we're waiting all their jobs, cash-rich, so to speak, has been moved forward to the second half of 2022. And the we bid in. We have already have had a couple of awards, not great, but we're awarding new awards. They would not come into into force in TR second half of -- once they say is going to be earlier, but I mean the reality is like all these contracts, they come into force a few months later than what customer says.
Operator: We have one last question from James Thompson from JP Morgan.
James Thompson: So we talked a little bit about -- or Mike's question on steel costs. I just wondered if you could maybe just spend a little bit of time talking about the -- some of the risks and opportunities in these project delays. I mean, they're 4 very large projects. Is there a risk here that you lose some of the competence, presumably some of the people that design the jobs it then are no longer with the company? And how much time are you spending reengineering and optimizing some of these projects. So actually, conversely, you could actually see a premium margin when the jobs do start back up again, come 2022. So perhaps just a little bit more color there would be pretty helpful.
Juan Arburua: James, I mean, obviously, here, there are always risks to put up. Let me focus. I don't see it as a risk, but as a good opportunity. When I was saying before, that I can use the -- I can name excellent because I don't think you would care. So, I don't like to talk about customers. But one of the big programmers project and more intense in engineering and probably more complex have to do with Exxon in Singapore. So what are we doing? That's the way of saying, we're finishing engineering. And we're going to be finishing engineering this year. I mean, engineering is going to be working with action because with designing a plant with Exxon technology so we have a customer which is very demanding on the quality of engineering for its technology to work correctly.  So we're working with them here and teleworking both, and we're going to have -- we're going to start -- we're going to fully finish the engineering. And it's going to be fully revised that engineering. It's going to be one of the first timing of our lives, if not, the only timing in our history that we're going to start construction with 100% finished engineering with our best resources and Exxon best resources working on his own technology. Most -- all of the finished engineering, you need to buy equipment.  Otherwise, engineering is never finished. So we've bought and we're buying all the main equipment. So all that equipment is bought and has been finished and supervised by Exxon and us to be moved into the site in Singapore. So -- and those equipments are going to be -- they have to be maintained for a few months. And then now we've closed the yards, where we're going to be doing models. And we redefine where a more efficient yard we're going to be working together with Exxon.  So the whole idea is to do a construction in Singapore, which is not an easy place to construct because there are a lot of space and health and safety restrictions. And workers' restrictions and cancer restrictions, the whole plant together with Exxon is to do a job that is very much derisked and we're doing workshops to see how we can do, I don't know. I mean, maybe we'll be ambitious. We're working with them to see how we can do the perfect job. I mean if it's not perfect, it's how most perfect have been very successful. So I see that as an opportunity. I don't think that is the risk that will be -- we'll lose -- engineering is going to be finished by us and by Exxon. Procurement is going to be procured. That equipment is going to be maintained, and construction is going to be done in a much smoother place is at better rates as well. And if we go to Saudi Arabia, with the other big job, and very difficult what we agree with the customers is not to deliver the whole plant and we have time enough. We are working together again with Saudi Aramco in finishing the engineering here. I mean, in the middle of this pandemic, Sandro said Aramco has deployed his team to to work with us. That shows that you have a quality customer with quality engineers, the finished engineering. Some of the equipment is being bought, but it's critical. And then we have designed the delivery of the plant instead of all advance in different units, which makes it easier to deliver because you don't have to run to this peaks of construction of thousands of employees -- of vendors. So it's going to be delivered in 2 phases. That's what I'm saying that obviously, I would have -- when you plan your business and you dimension yourself to $3 billion jobs for Saudi Arabia and $1.5 billion jobs for Exxon and the whole thing that we schedule that is you have restructure sales. You have to restructure of capacities. You have to get rid of space you have -- your turnover comes down. Your margins over sales. But at the end of the day, you have 2022, with them, we have a profitable backlog with 2 very important customers.  I don't – I mean, there is always risk that maybe we're not contemplating. But there are more opportunities of derisking and delivering our jobs with more margin, together with the customers than risk. And the third one is which is the same thing. We've started engineering, and we are advancing with them in engineering. We're planning with them to move into procurement this year. And the whole environment clears a little bit, then we will move into construction. So it's a way of working through the jobs, the risk in the business and maintaining the backlog profitably with the customer.
James Thompson: Okay. And sort of semi-related, but your guidance suggests it's going to be another year without a dividend. Obviously, it's hard to predict into 2022, but it's probably 3 years without a payout. What -- but you talk about, obviously, a return to profitable or maybe even more profitable operations big projects. Kind of what's the current view about resuming that payout? How confident are you in terms of 2022, getting that back on the table?
Juan Arburua: I feel very comfortable that 2022 is going to be a good year. But I think I am comfortable in this business, but I think that, that level of comfort is being shared by everyone in different businesses. And if that's the case, and this 2021 is a good transition year, which looks is going to be a good transition year, but it's not going to -- but it would not make any sense in the transition year to start announcing dividends. I mean, it's a year of transition. But if 2022 is as expected, and it is, as expected, within our plan, it has to be the year of dividend.
James Thompson: Okay. [indiscernible]
Juan Arburua: Paying dividend 2021, I mean I'm personally very interested in getting a good dividend. I mean, let me be honest with you. I did very good. My parents would be very happy, my brothers as well, everybody will be very happy. But I think we'll be losing credibility. I mean, we have to focus into the profitability of the business.
James Thompson: Hopefully, things pick up through the year.
Operator: As we don't have time for more questions, so I give you the floor for the conclusion.
Juan Arburua: Okay. Thank you very much for all of you. Thank you very much for listening. I hope I didn't bore you. Thank you very much for posting questions, which very much clarifies what I have presented here. And I will be talking to you again, I do believe in May, yes, which will be the first quarter results. Okay. Take care, and have a good weekend.